Operator: Good afternoon, ladies and gentlemen, and welcome to Terna's First Quarter 2025 Consolidated Results Presentation. At this time, all participants are in listen-only mode. Please be advised that today's conference is being recorded. I'd like to hand the conference over to your host speaker today, Ms. Stefano Gamberini, Head, Investor Relations. Please go ahead, sir.
Stefano Gamberini : Thank you. Good afternoon, everyone, and welcome to Terna's's first quarter 2025 results presentation. The call will be hosted by our CFO, Francesco Beccali. Following the presentation, then we will have the Q&A section. So we kindly ask you to send any question you might have to our email address, investor.relations@terna.it. Thank you. Please, Francesco.
Francesco Beccali : Thank you, Stefano, and good afternoon, everybody. Before starting to analyze the figures, I would like to take a moment to highlight the main achievements of the first quarter of 2025. First of all, on March the 25th, we presented the update of the 2024-'28 industrial plan, which outlines investments totaling EUR17.7 billion, an increase of EUR1.2 billion compared to the previous plan. This update strengthens even more Terna's role as a key enabler of the energy transition, driving Italy toward decarbonization and reducing dependency on foreign energy supplies. For what concerns regulated activities, Terna plans to invest a total of EUR16.6 billion in the five-year period of 2024-'28 to develop and modernize the national electricity transmission grid, marking a historical record level of regulated investment. In this regard, let me remind you that on March the 14th, Terna presented the 2025 National Development Plan with over EUR23 billion of investment plan over a 10-year time horizon for a safer and more resilient grid. On this point, I would like to highlight that during the first quarter of 2025, 12 projects for the development of the national transmission grid were authorized by the Ministry of the Environment and Energy Security and the relevant regional authorities for a total amount of approximately EUR240 million. This is an evidence of our ability in streamlining internal processes and of our constructive collaboration with authorities that allow us to reduce approval times. About the execution of our projects, let me underline that a few days ago, on May the 8th, we completed the laying of the first submarine cable of the eastern section of the Tyrrhenian Link, one of the most significant power infrastructure projects in Italy, which will connect Campania and Sicily. About regulation, on March the 27th, ARERA published the Resolution 130, which establishes for RAB indexation, the transition to the new Italian Harmonized Index of Consumer Prices, so-called IPCA Italy, starting from 2024, replacing the gross fixed investment deflator as RAB. From a financial standpoint, let me highlight that following the presentation of Terna's 2024-'28 industrial plan update, Moody's and Standard & Poor's global rating confirmed the long-term rating held by the company, respectively at Baa2 and at BBB+, with a stable outlook, a notch above the rating held at that time by the Italian Republic. Moreover, in April, Standard & Poor's upgraded the long-term rating of Terna at single A minus. In addition, confirming once again the group's strong commitment to the introduction of a model which aims to reinforce sustainability as a strategic lever for creating value for all its stakeholders, in February, Terna issued a EUR750 million green bond, and in March, signed an ESG-linked revolving credit facility for a total amount of EUR1.8 billion. Finally, in line with what was set out by our sustainability plan, at the beginning of efforts, we presented Terna Foundation, with the aim of promoting the group's social responsibility to foster greater inclusion through widespread access to world of energy in terms of knowledge, awareness, and work opportunities. After this brief introduction, let me give you the usual overview of the Italian electricity market, turning to the next slide. As you can see from this chart, in the first three months of 2025, national demand was about 77 TWh, in line with the level registered last year, when national demand was about 78 TWh. In the first quarter of 2025, renewable sources covered about 33% of national demand, three percentage points lower than last year, mainly as a consequence of a decrease in wind production caused by unfavorable weather conditions, as well as a decrease in hydroelectric production, mainly because the previous year was a record one. Regarding national net total production, this stood at 65 TWh, 6% higher than the same period of 2024. In this first quarter, renewable sources covered about 40% of the national net total production, down from the 46% of last year. However, let me highlight the remarkable increase in solar production, which grew to around 7 TWh, up 14% versus the first quarter of last year. Now, let's move to the main figures of the period. In the first three months of the year, we registered solid results at all current lines and a robust CapEx growth. Indeed, group revenues and EBITDA were up by 5% and 4% respectively, which means EUR44 million and EUR24 million higher than the first three months of 2024. We also reported a group net income at EUR275 million, with an increase of 3% versus the same period of last year. Group CapEx were at EUR562 million, recording a 16% growth versus the first quarter of last year. This confirms, once again, our strong CapEx acceleration to serve the system needs and enable the twin transition, in line with our recently presented industrial plan update. Despite this CapEx acceleration, at the end of March 2025, net debt stood at EUR11.1 billion, in line with the value registered at 2024 year-end of about EUR11.2 billion. Now, let me give you a deeper analysis of the figures in the period, moving to the next slide. Let's start with the revenues analysis. Total revenues in the first three months of 2025 increased by 5.1%, reaching EUR902 million, up by EUR44 million versus last year. The growth was attributable both to regulated and non-regulated activities, which contributed for EUR25 million and EUR19 million, respectively. Let's now go into details of the revenues evolution, moving to the next slide. Regulated revenues reached EUR755 million, up 3.4%, which means about EUR25 million more than the same period of last year. The increase was mainly driven by rapid growth, the impact of 2025 studies' recognition of depreciation related to 2024 capital expenditure, and of the fast money component that on the conventional capitalization rate defined under the ROSS application. These elements more than offset the work reduction from 5.8% to 5.5% in 2025 and the lower out-of-base incentives contribution versus last year. Non-regulated and international revenues reached EUR147 million, 14.5% higher than last year. Non-regulated growth mainly reflects the higher contribution from the equipment segment of the Bruck Kevos Group and the Tamini Group. International revenues were set to zero. The results attributable to the South American subsidiaries have been classified among assets held for sale as in the first quarter of 2024. Now let's go through operating cost analysis. As you can see in the chart, total operating costs stood at EUR250 million, 8.5% higher than last year. Regarding regulated activities, the increase was mainly attributable to the rise in average accounts, partially offset by higher capitalizations, while non-regulated activities were mainly impacted by higher service costs related to the development of activities in the energy services and equipment segments and higher raw material costs. Let me now analyze EBITDA, moving to the next slide. Due to the previously mentioned effects, first quarter 2025 group EBITDA reached EUR652 million, 3.8% higher than the same period of last year. The increase was mainly attributable to regulated activities, which contributed for about EUR17 million more versus the first three months of last year, showing an EBITDA of EUR627 million in the first quarter of 2025. Also, non-regulated activities contributed to the EBITDA improvement with a 39% growth versus the same period of the previous year, showing an EBITDA of EUR25 million. Let's now have a look to the lower part of the P&L, turning to the next slide. D&A amounted to EUR219 million. The increase versus last year was primarily due to the entry into service of new infrastructure. As a consequence, EBITDA reached EUR433 million, 3.4% higher versus the first quarter of last year. We reported net financial expenses at EUR39 million, the slight increase versus last year of EUR2.3 million, is mainly caused by the subscription of new loans at higher interest rates compared with the average cost of existing ones. This effect was partially offset by higher capitalized expenses. Taxes stood at EUR119 million, EUR7 million higher versus last year, essentially due to the increased profit. Our tax rate stood at 30.1% versus 29.2% in the first quarter of 2024. As a result, group net income reached EUR275 million, 3% higher versus the same period of last year. Moving now to CapEx analysis. In the first three months of 2025, total CapEX amounted to EUR562 million, 16.4% higher than last year, confirming the robust acceleration in line with the targets set in the updated industrial plan and confirming our determination to drive the energy transition. Indeed, we invested about EUR527 million in regulated activities. Among the main projects of the period, it is worth mentioning the Tyrrhenian Link, the Sa.Co.I 3, the Adriatic Link, the modernization of the high voltage grid in the locations due to the Winter Olympics in 2026, the Colunga-Calenzano connection and last but not least, the investments of the defense plan to enhance voltage control capacity and support grid stability, including synchronous compensators, shunt reactors and damping resistor systems. Among CapEx categories, development CapEx represented 56% of total regulated CapEx. Defense CapEx stood at 14%, while asset renewal and efficiency was 30%. Non regulated and other CapEx stood at EUR35 million. This includes capitalized financial charges and other investments. Regarding the net debt and cash flow analysis, net debt at the March 2025 was about EUR11.1 billion, around EUR EUR34 million lower than 2024 year end level, confirming our ability to manage and keep the net debt evolution under control. During the period, we generated an operating cash flow of EUR483 million, thanks to which we were able to cover about 86% of the CapEx spending of the period. Let’s now make a deeper analysis of our debt profile moving to Page 14. In line with our cautious and proactive debt management approach that aims to maximize efficiency and achieve and maintain a solid financial structure with mitigating potential financial risks, at the end of this first three months of 2025, we registered a fixed floating ratio on gross debt of about 88% and an average duration of about six years. In alignment with Terna's strategy, which aims to combine investment and sustainability to drive growth and value creation, it is our ambition to play a leading role in the sustainable finance market. Indeed, in February, Terna successfully launched a new single tranche green bond issue for an amount of EUR750 million, a term of seven years. The bonds was issued with a spread of 90 basis points above the mutual credit and will pay an annual coupon of 3.18%. At the end of March 2025, the senior green bonds issued by Terna under its EUR12 billion Medium Term Notes program and yet to reach maturity amounted to EUR3 billion in addition to the two perpetual subordinated green bonds issued in February 2022 and in April 2024 on a standalone basis for a total of EUR1.85 billion. Furthermore, let me remind you that these green issues are used to finance or refinance eligible green projects. These are projects producing environmental benefits that met certain criteria. Specifically, we are talking about projects that aim to increase renewable energy production, projects designed to cut CO2 emissions by reducing grid losses, projects designed to ensure the quality, security and resilience of grid infrastructure and projects that aim to reduce land use and protect biodiversity. Regarding ESG link revolving credit facilities, as already mentioned in the beginning of the presentation, on March 21, Terna signed an ESG link revolving credit facility for a total amount of EUR1.8 billion aimed at refinancing the ESG revolving credit facility signed in December 2021. The transaction allows Terna to count on liquidity appropriate to its current credit rating, further strengthening the company’s financial structure. Regarding credit ratings indeed, let me stress once again that in March, following the presentation of the updated 2024-2028 industrial plan, the rating agencies, Moody’s and Standard and Poor’s, both confirmed the company’s ratings. Then in April, Standard and Poor’s announced that it has upgraded Terna’s long term rating from BBB plus to single A minus with a stable outcome following the upgrade of the sovereign rating to BBB plus. Thank you for your attention. First of all, Terna will continue to drive the Italy’s energy transition towards renewables, focusing on enhancing grid quality while reducing reliance on imported energy sources. Strategic investments in grid expansion will support the growing demand for electricity and the efficient integration of renewable energy. At the same time, we are strengthening the resilience and security of the infrastructure, enabling the energy transition and ensuring system stability. Moreover, Terna will also continue to guarantee value creation for our shareholders and communities, focusing on the execution of projects included in our updated 2024-'28 industrial plan, for which we are well on track, both in terms of authorizations and procurement. Finally, as reiterated during the presentation of the 2024-'28 industrial plan update, we remain confident in our ability to deliver strong set of results while preserving financial stability and maintaining a low risk profile as also confirmed by the debt ratings received from the agencies. In the first quarter of 2025, we demonstrated once again our ability to deliver solid results and a robust CapEx growth. Therefore, we confirm all the targets provided two months ago. Thank you for your attention. We are now ready for the Q&A session.
A - Stefano Gamberini: Thank you, Francesco. Now we can move to the Q&A section. Let's start with some figures. Francesco, could you give more details about how many out-of-base incentives have been accounted in the first quarter, and any guidance on the OBIs for the full year '25?
Francesco Beccali: Sure, Stefano. In Q1 '25, revenues, there is no contribution coming from the out-of-base incentives related to dispatching services, OBIs, or international incentives. These incentives will be recognized during the year when there will be the certainty in line with accounting principles. With reference to full year, our overall expectations reflect the update in the performance estimates for 2025, which we expect will allow to book incentives over EUR550 million.
Stefano Gamberini: Now, again on OBIs, what are your expectations regarding the evolution of out-of-base incentives over 2025-'28 period?
Francesco Beccali: The industrial plan update assumes about EUR550 million cumulated in the 2025-2028 period, back-ended loaded, mostly referring to ancillary services market incentives.
Stefano Gamberini: Is there any increase in capitalized costs year-on-year in the first quarter '25?
Francesco Beccali: On this point, let me say that in the first quarter, we registered a slight increase in capitalized personal costs versus the first quarter of last year, mainly following higher investments in the period.
Stefano Gamberini: Going now to recent regulatory updates, can you please comment about regulators' resolution on the shift from the deflator to the Harmonized Index of Consumer Prices for the RaaB indexation?
Francesco Beccali: First of all, let me say that the outcome of the resolution is positive on our end, since HICP demonstrates to be a more stable and predictable parameter compared to the deflator for gross fixed investments. This result was already part of the assumptions on our business plan update, so no impact on estimates since it was already included in our guidance.
Stefano Gamberini: What are your expectations about ROSS Integrale framework implementation? When could we expect the first consultation document about it?
Francesco Beccali: As we always say, we have a positive view of AREVA's approach to the ROSS system, in which we see an opportunity to create further value for both the electricity system and our shareholders. More visibility will come from the next consultation document that we expect to be published in the upcoming weeks.
Stefano Gamberini: Now on the WAC, which are your latest expectations with respect on the update in WAC for 2026?
Francesco Beccali: As of today, it is too early to assess if the threshold for the potential WAC update at the end of this year will be met, since you know that the observation period will conclude at the end of September 2025. Anyway, according to the latest market calculation, WAC value is still below the threshold of 30 basis points. So for 2026, at the moment, we do not expect a change in the regulatory WAC compared to the current value of 5.5%.
Stefano Gamberini: Moving now on the energy scenario and the operations. Could you provide an update on new requests of connections from data centers?
Francesco Beccali: Sure, Stefano. In Italy, the connection requests to the grid associated to the construction of data centres have experienced a strong growth in recent years. As of March 21st of 2025, the total high voltage connection request reached approximately 42 gigawatts, with around 257 active requests.
Stefano Gamberini: Recently, a new interconnector between Greece and Italy has been announced. Is it included in your CapEx guidance? Could you provide more details about this project, please?
Francesco Beccali: Sure. The newly announced HVDC-Sumali interconnection between Italy and Greece will increase the integration of the two countries' electricity markets and diversify supply sources, enhancing energy security and reinforcing the role of Italy and Greece as electricity hubs in the Mediterranean region. The project jointly developed between Terna and the Greek TSO IPTO, foresees 1 gigawatt link spanning 300 kilometer, including 240 kilometers of undersea cable. This project is already part of the 2024 10-year development plan, while not included in the 2024-'28 update of the industrial plan, the CapEx guidance, since the project will be developed after the business plan horizon.
Stefano Gamberini: Do you have any update on the MACSE auction?
Francesco Beccali: As to the MACSE, let me recall that it is a market-based long-term mechanism for the development of new electricity storage systems in Italy. After carrying out a system needs assessment, Terna also requires actions to procure the required volume of storage capacity. After each auction, Terna offers to the selected developers a long-term contract, where on the one hand, they are required to build the storage facility during the lift period. On the other hand, for the entire period of delivery, they will be entitled to the payment of a yearly premium, meant to cover both fixed costs and remunerate the cost of capital. And then they are also required to make the storage facility available to the system and pay Terna the difference if positive, between the ancillary services market price and the strike price. The first storage capacity auction will take place next 30 December 2025, with the delivery period in 2028. In this auction, 10-gigawatt power of new capacity from lithium-ion batteries will be procured. The annual cost of the mechanism will depend on the total quantity procured and on the price of each auction. Auction cap will be defined by ARERA.
Stefano Gamberini: Do you see any risk from USA tariffs to Terna's procurement?
Francesco Beccali: Let me say that we do not see many direct impacts from U.S. tariffs as the share of our supplies manufactured in U.S. is negligible. Clearly, we expect that as a consequence of U.S. tariffs, we will face more potential shortages on bottles and bottlenecks in the supply chains affecting the industry. We manage the risk by implementing various actions to handle possible issues efficiently. So, on the procurement side, let me remind you that we are well on track since we have already secured almost all the procurement needs until the end of 2025.
Stefano Gamberini: Lastly, what risks does Italy have of suffering a blackout like in Spain?
Francesco Beccali: Regarding this topic, first, I would like to underline that despite the impact of the blackout in the Iberian Peninsula, the Italian electricity grid maintained stability and correct function. This was made possible thanks to the robustness of the system and the adoption of defined protocols for managing emergency situations. In this context, let me say that the European electricity system in which the Italian electricity system participates is very complex and it is impossible to rule out every potential risk. However, the Italian electricity system has been the subject of numerous investments in grid security carried out by Terna to enhance its robustness through the so-called defense plan in which tools and processes are defined to face emergency situations. In fact, Terna has made significant investments in the security of the electricity system and in Italy, there is a regulation introduced after the 2003 blackout which requires the TSO to submit the security plan for the national electricity system on an annual basis. This plan is approved by the Ministry of Environment, Energy and Security, so-called MASE. In this regard, the latest security plan submitted in May 2024 foresees over EUR1.3 billion in investments for the 2024-'27 period. And in the update of the industrial plan presented last March, Terna announced the increase of investments included in the security plan up to EUR2 billion for the 2025-2028 period, which considers recent developments concerning the increase in renewables penetration. Finally, in addition, there is a mature regulatory framework for renewable energy sources in Italy regarding the contribution these sources must also provide to the stability and balancing of the system.
Stefano Gamberini : Very well. Thank you, Francesco. The Q&A section is now over. Many thanks, everyone. The IR team remains available for any further requests you might have. Please, Francesco.
Francesco Beccali : Thanks, everybody. See you for the first half results.